Operator: Good afternoon ladies and gentlemen. Thank you for standing by. Welcome to the Preferred Bank 2009 third quarter results conference call. During today’s presentation all parties will be in a listen only mode. Following the presentation the conference will be open for questions. (Operator’s instructions) This conference is being recorded today, Thursday, October 29, 2009. At this time I’d like to turn the conference over to Mr. Lasse Glassen, Financial Relations Board. Please go ahead, sir.
Lasse Glassen: Thank you. Good day everyone and thanks for joining us to discuss Preferred Bank’s results of the third quarter, ended September 30, 2009. With us today from management is Mr. Li Yu, Chairman, President and Chief Executive Officer, and Ed Czajka, Chief Financial Officer. Management will provide a brief summary of the quarter and then we’ll open the call for your questions. During the course of this conference call statements made by management may include forward-looking statements within the meaning of the private securities litigation Reform Act of 1995. Such forward-looking statements are based upon specific assumptions that may or may not prove correct. Forward-looking statements are also subject to known and unknown risks, uncertainties and other factors relating to Preferred Bank’s operations and business environment, all of which are difficult to predict and many of which are beyond the control of Preferred Bank. For a detailed description of these risks and uncertainties, please refer to the document the company files with the Federal Deposit Insurance Corporation or FDIC. If any of these uncertainties materialize or any of these assumptions prove incorrect, Preferred Bank’s results could differ materially from its expectation as set forth in these statements. Preferred Bank assumes no obligation to update such forward-looking statements. At this time I’d now like to turn the call over to Mr. Li Yu. Mr. Yu?
Li Yu: Thank you Lasse. Good afternoon ladies and gentlemen. Thank you for – to our earnings conference. During the third quarter we decided to further increase our loans loss reserves. We changed the method of our calculating the past reserves, historical reserve on the past portfolio. And that is under the fast five definition. We also stepped up our effort in evaluation effort in all of our loan portfolio. And for uses we included appraisal reports result for loans as closed by two days ago. Though as a result our total loan loss reserve increased about 60 basis points to about 3.24%. This is after even after we charged off a high amount of almost $14 million for the quarter. The price of the quarter is really a reduction of the 30-89 days commonly known as delinquent loans. This is the trend my staff and myself have been waiting for a long time. The number now stands at $28 million at quarter ends. And we do expect the majority of them will be brought current in the fourth quarter. There also some other positive signs. One of them is the increase activity in the liquidation of trouble assets. During the quarter we sold almost $29 million of trouble assets. And we have, at quarter end, we have roughly $15 million in escrow. Another situation is that you may not know for a total non-performing loans, our total non-performing loans roughly over $70 million are loans currently tied up either in bankruptcy court or in litigations. That makes up dissolution effort longer and laboriously. And I’m glad to point out roughly $50 million out of $70 million plus will be coming out of the court in the next 60 days period time, which will allow us to market them then. Our lawyer told me with one particular loan -- they have made a deal on one of the particular loans --told me that in seven days he hopes to complete a transaction which will result in Preferred Bank recovering a significant amount of money there. And it’s estimated currently at maybe over $5 million. So I hope that we can report this matter to you in seven, eight days period time. For a long time we’ve had a negative credit trends. And I think we finally see the trend begin to change. We hope this will continue, especially when we see areas, housing price have a five months in a row increase in pricing. And also just learned that most likely and more than likely that the Congress will extend the Homebuyers credit case. In the event – during the quarter we have increased deposits. We have decreased our loan outstanding. We have paid off some borrowed from Federal Home loan Bank. And such increased our liquidity quite a bit. At the quarter end our tangible common equity ratio now stands at 9.66%, with much higher level of loan loss reserves and much lower exposure to the all risky construction and land loan portfolios. Thank you and I’m ready for your questions.
Operator: Thank you, sir. Ladies and gentlemen we’ll now begin the question and answer session. (Operator’s instruction) And our first question will come from the line of Joe Gladue with B. Riley. Please go ahead.
Joe Gladue - B. Riley: Let me first start out on the income statement, I guess in the press release in regards to increases in other expenses that it mentioned a couple of things. Well, I guess that might have been – mentioned FDIC insurance expenses and as part of the reason that was up. And I was thinking that should be going down after the special assessment. Just looking for more color on what was driving the, I guess, close to $1.3 million increase and other non-interest expenses?
Edward J. Czajka: Yeah. So we had an essentially a one-time catch up with FDIC premiums. Some time ago they did change the methodology. These were previously pre-paid assessments and they moved that over to a different method whereby you would be accruing FDIC premiums and then paying them out. And so this is a one-time catch up on that to the tune of a little over a million dollars this quarter. Obviously that’ll be a one time expense.
Joe Gladue - B. Riley: Okay. All right. And I guess, in regards to assets quality. You mentioned some step up in appraisals and just reviewing loans. Just wondering if you could give us an idea of how many – what portion of the loan portfolio got new appraisals during the quarter or got reviewed or whatever?
Li Yu : Well, all construction and landlords, our policy has been to get appraisal for every six months (inaudible) at time. Okay. And then for the ones that is even showing in between that would take a close look at it. If we see it as a big valuation (inaudible) we will early order the appraisal on the matter. So we’re fairly current on the loan appraisals as of September 30th.
Joe Gladue - B. Riley: Okay. Also, I guess, I was just wondering if you could give us a clearer picture of sort of the – you did have a good decrease in the size of the loan portfolio. Just trying to figure out the ins and outs between loan sales and net charge offs and originations and everything. Could you, I guess, walk me though that?
Li Yu: Can you walk him through that as far as the loan portfolio decreases, other from that?
Edward J. Czajka: Yeah, I think primarily, Joe, it’s really result of a couple of things. Essentially you already touched on a couple of them. Loans transferred to OREO that were problem loans as well as loans charged off. We did have a very small number of loans paid off during the quarter as well as some revenues. But in terms of new loan originations I don’t believe there was anything of any materiality.
Joe Gladue - B. Riley: Okay. And I guess I’ll just ask – end up asking, when was the most recent regulatory exam? Is there one coming up or when was the last one or?
Li Yu: They are right here in another room. Have a big number of people that was looking at every thing we have. And so far – our bank doesn’t have that many loans. I think by the time they are over they will have looked over 50% of loan portfolio.
Joe Gladue - B. Riley: Okay. All right. I guess that’s it for me. Thank you. I’ll step back.
Operator: Thank you. Our next question comes from the line of Aaron Deer with Sandler O'Neill, please go ahead.
Aaron Deer - Sandler O'Neill Asset Management: A few questions. One is, obviously the level of non-performers at least optically it seems pretty high. And I’m wondering what other kinds of workout solutions you guys look at to help get that moving down in the other direction in terms of loan sales or AP restructures and that sort of thing. And how quickly might we see that come down given some of the efforts that you are making?
Li Yu: Actually, we don’t have much AP restructure at this point of time right now. As I indicated earlier, out of the non-performing loans are loan are – I mean, we are a year away of go ahead of gradually resettling it. Okay. On the non-performing loan area, as I indicated earlier, about $70 million currently tired up in courts. The bankruptcy, mostly bankruptcy court. And of course a good portion will come out of court in the next 60 days period time. And some of them we can sell them fairly fast. Some of them, you have to market it through a – how should I say, more slow down process. Because they are some things you can not early market because the lawyer is tricking them too. Actually have title to that. You cannot do that because of agreement or chilling of the bids, whatever legal language they’re throwing at us. So what we try to resolve is that most of them we try to resolve it by selling it. And that do have few loans that in the portfolio which is currently tied up in court, we actually we think will be corrected by the customer in that, bring here and buy that. But really until they’re done, they’re not done.
Aaron Deer - Sandler O'Neill Asset Management: Okay. And those properties that are in OREO, are those getting marked every quarter?
Li Yu: We market them continuously. In fact the marketing effort is spread out to all the area.
Aaron Deer - Sandler O'Neill Asset Management: I’m sorry, Li, I didn’t make myself clear. Are the valuations on those OREO properties being mark-to-market each quarter?
Li Yu: Yes.
Aaron Deer - Sandler O'Neill Asset Management: Okay. And with the property that you mentioned that’s in escrow now, is there any sort of potential loss or gain on that property?
Li Yu: It’s already marked to whatever the escrow value is.
Aaron Deer - Sandler O'Neill Asset Management: Okay. And then just one last question on the different tax assets. You guys made note of the disallowed portion for regulatory purposes. What’s the overall differ tax asset at September 30th?
Edward J. Czajka: Just over $29 million, Aaron.
Aaron Deer - Sandler O'Neill Asset Management: Okay, great. Thank you everyone.
Li Yu: I do like to point out is that we expect by December 31st, by the year’s close we’ll be able to file tax return our (inaudible) assets situation disallowed portion will be reduced.
Operator: Thank you, sir. Our next question comes from the line of Joe Morford with RBC Capital Markets, please go ahead.
Joe Morford - RBC Capital Markets: Thanks good afternoon, Li and Ed. I guess I was just curious what drove the discussion to revise the allowance allocated to past loans and what exactly changed there?
Li Yu: Well, we’ve been seeing that the losses in the recent situation – in other words, every quarter goes by seems the load situation the valuation situation comes a little bit more difficult. So we decided to be a bit more conservative. And we tried to get inputs from all different sources. And we decided to change the message. The net result is that the total increase in the past portfolio is 37 basis points. Which based on a very complex calculation totaled down on increase between $3.5-$4 million.
Joe Morford - RBC Capital Markets: Okay.
Edward J. Czajka: And, Joe, just so you know to add on to what Mr. Yu said, when we had a longer look back period in the historical on the fast five reserve, we had that weighted toward the most recent years. So it wasn’t a purely ratable historical look back. We had it more weighted toward more recent years. So it’s not as if we went from a pure seven year look back to a shorter look back.
Joe Morford - RBC Capital Markets: And did that number of years shorten up this quarter? Is that part of how this happened?
Edward J. Czajka: Yeah. That’s exactly what happened.
Joe Morford - RBC Capital Markets: Okay. So you went from seven years to when?
Li Yu: To four years.
Edward J. Czajka: Four years.
Joe Morford - RBC Capital Markets: Four years. Okay. All right. That makes sense. Thanks. And then I guess with a little unclear, just you talked about just finishing up a bunch of new valuation work. What exactly was the outcome of that or on average what were you finding in terms of decline in values and things like that?
Li Yu : We do have some rather – some (inaudible) decline in value in the length portfolio. Which results in the revaluation downward, the land portfolio by $5 million plus is a loan portfolio by another – between $4-$5 million. We’re receiving – having appraisal report compared to the six months ago appraisal before. Most of them show the value reduction, appraisal value reduction of between 45%-53%. Which is pretty shocking to us as to why the last few months the real estate market has stabilized yet the land value goes down that much. And we have a very bright new office who has alert me on one situation. He says that the appraisal report we receiving right now are using the comps, basically June comps, July comps, May comps, okay. These are the completed transaction in May, June and July. But they represent the transaction that was entered into in January, February or even December of last year with the real estate at its low point, okay. So the comp value right now we receiving is probably represent a transaction that was agreed upon at the lowest part of the time. But which is not to say with the future is better. We have no control over that. But these values are very disappointing. Industry, I have asked several of our smarter and more experienced bankers and they’ve been telling me they feel the same way. But they think that there’s also degree of great potency, can I put it nicely, great prudence by the appraisal industry.
Joe Morford - RBC Capital Markets: Okay. So just to be clear, it sounds like the worse of the valuation hits have been in the land portfolio, not surprisingly. And there, these updated appraisals are coming in 40%-53% below where they were six months ago?
Edward J. Czajka: That’s right.
Joe Morford - RBC Capital Markets: Okay. And then lastly on this, you talked about getting updated appraisal in the land and construction portfolio every six months. How often are you doing that for kind of your term commercial real estate exposure and what percentage of the portfolio would you say has had an updated appraisal there within the last three to six months?
Li Yu: We do real estate appraisal situation in this way, okay. Actually in the commercial real estate situation almost every loan is look upon on the larger loan, larger than $3 million loans, okay, we look at – larger than $2 million loans, that credit administration was telling me larger than $2 million loan was look upon on the continuous basis. And we value your base on the cash flow they receiving, the rent roll, the property condition. And seeing most of loan has secondary and the third resources of payment that we also continuously keeping on top of the borrower, the credit worthiness on the whole situation. So, it is not a matter of getting appraisal. And we’re so appraising them by using a different CAP rate, stress testing with a different CAP rate. And with an increase of vacancy ratio and etcetera, etcetera, okay. We’re doing that on a continuously basis, okay. And another situation is that I’d like to point out to you that at the end of our press release there’s a table showing that our commercial real estate, CRE detail as its origination date and its origination LTV and organization DCR, okay. And the three years has gone by, okay. Many of the loan has been paid down somewhat. Many of the rents have increased. I mean, maybe today there is some loans have decreased in – increase in vacancy ratio, decrease in rental. But still the movement part of (inaudible) is not all negative from the origination date and so on. So we’ve been staying on top of them. And every six months we send our people out to do property inspections. We see the property and compare the rent roll we receiving as they’re actually the tenants are there, and so on. And we see the property, take picture as it’s condition, so and so. It has been continuously monitored.
Joe Morford - RBC Capital Markets: Okay. That’s very helpful, Li. Thanks so much.
Operator: Thank you. Our next question comes from the line of Don Worthington with Howe, Barnes, Hoefer, Arnett, please go ahead.
Donald A. Worthington - Howe, Barnes, Hoefer & Arnett: Good afternoon. Couple of things. One in terms of the OREO sales. Can you provide a little more color on what properties those were, types of property?
Li Yu: For the third quarter OREO sales, okay, we sold a group of condo and a plus one undeveloped land. And actually we sold about five condo projects, okay, of which two of them are broken condos, okay.
Donald A. Worthington - Howe, Barnes, Hoefer & Arnett: Okay. And then it looks like in order to sell them it was a combined loss of about $4.5 million, additionally?
Li Yu : Right. Actually most of the loss is on one loan, okay. $2.1 million loss is on one loan. Because after we foreclosed the property, we own the property, then we went to the city find out there’s many situations, many of the construction that was done is not up to code. And the cost to complete has greatly increased. So had a previously agreed upon selling price. I went to reduce the selling price to accommodate all the situation, to make the sale. So most of the losses relates to one of the loan with the construction defects has been noted afterwards.
Donald A. Worthington - Howe, Barnes, Hoefer & Arnett: Okay. And then in terms of the net interest margin. How much did interest reversal impact the margin this quarter?
Edward J. Czajka: Don, interest reversals were about 20 basis points for the quarter. And the effect of all of the non-accruals was about 100 basis points.
Donald A. Worthington - Howe, Barnes, Hoefer & Arnett: Okay. And I guess lastly in terms of the CDO, how much of that been written down to date? I guess there are two of them, yeah?
Edward J. Czajka: Yeah. We wrote down two – now, if you want to know our book value versus market value?
Donald A. Worthington - Howe, Barnes, Hoefer & Arnett: Yes. Or I guess what I’m getting towards is how much additional exposure there might be to additional OTTI?
Edward J. Czajka: Well, we still have about $5.7 million on book value. Current market value on those is about 39% of that. We would anticipate, we’ve made no secret of this. I think, Don, you and I didn’t talk about this. We will have further slow bleeding on this CDO portfolio. But unlike in the past it’s not going to come and large chunks like it has.
Donald A. Worthington - Howe, Barnes, Hoefer & Arnett: Okay. All right. Thank you.
Operator: Thank you. Our next question is from the line of Julianna Balicka with KBW, please go ahead.
Julianna Balicka - Keefe, Bruyette & Woods, Inc: Good afternoon. Thank you for taking my questions. I have a few quick questions. Kind of going back to Don’s questions on the margin. What is your outlook going forward for next year and next year?
Li Yu: Well, we just have our first draft of a budget, okay. We have not – I don’t know whether he’ll be brave enough – yeah, are you brave enough to say anything about that, okay?
Edward J. Czajka: Let’s say, it’ll be north of 308 Julianna.
Julianna Balicka - Keefe, Bruyette & Woods, Inc: North of 309?
Edward J. Czajka: Yeah. Probably in the – I would guess between 325 and 350 for next year. Obviously the big wild card there is the effect of the non-accruals. But in the plan we show a specific level of non accruals on a month by month basis based on what we know now, based on what we believe this position to be, non accruals moving into OREO, those funds being redeployed, etcetera, etcetera. And that’s kind of where we’re targeting right now.
Julianna Balicka - Keefe, Bruyette & Woods, Inc: Very good. And then the gains that you took this quarter. What is the outlook that for taking gains next quarter and subsequent quarter, I mean, what’s left?
Edward J. Czajka: Actually not a lot.
Li Yu: Actually not much. I mean, if I were you I wouldn’t count on anything.
Julianna Balicka - Keefe, Bruyette & Woods, Inc: Okay. Very good. And then in terms of the $50 million of the loans that are in bankruptcy proceedings, right?
Li Yu: Actually we’re $70 million in bankruptcy, litigation proceeding. I think $50 million will be resolved. $50 million will be resolved in the next 60 days.
Julianna Balicka - Keefe, Bruyette & Woods, Inc: Okay. Now have those been – what kind of further markets do you anticipate on those loans or where are they marked to or what’s going on in terms of that?
Li Yu: We cannot market them right now. Because the ones in the bankruptcy court, a lawyer told us you are not supposed to market these things.
Julianna Balicka - Keefe, Bruyette & Woods, Inc: You can’t market them, right. But have you written them down?
Li Yu: Yeah. We have written that down, okay. We have written down to whatever the current value is.
Julianna Balicka - Keefe, Bruyette & Woods, Inc: Right. Okay. And then final question is in terms of some of your asset quality results this quarter, to what decree did the participations that you have influence some of your provisions and or charge ops? So how did that work out?
Li Yu: Well, we didn’t really calculate that. I think that in the charge of – in the loan loss provision sites and total credit cost side, the participation loan still represents over – and I venture to say more than 50% of the whole picture, total credit cost. So it still that they are oversized.
Julianna Balicka - Keefe, Bruyette & Woods, Inc: Okay. Excellent. Thank you very much for taking my questions.
Operator: Thank you ladies and gentlemen. (Operator’s instructions) And our next question is from the line of John Deysher with Pinnacle, please go ahead.
John E. Deysher - Pinnacle Value Fund: Question on the commercial real estate portfolio. I think the number at the end of September was $340 million or so.
Li Yu: Yes.
John E. Deysher - Pinnacle Value Fund: Up from $300 at the end of the June. Why did that increase? Was that a migration of loans that came out of construction and into –
Li Yu: Most of them are completed construction projects. If you see there is a almost a corresponding relationship between the reduction in the commercial construction loan, okay. Not quite the same dollar, the same amount, but corresponding reduction of that. Which means the project as completed construction go stabilized and become a (inaudible).
John E. Deysher - Pinnacle Value Fund: Okay. And what types of projects are those?
Li Yu: Mostly they are retail and medical office project. One large medical office project and a few retail projects.
John E. Deysher - Pinnacle Value Fund: Okay. And what are the lease up rates or vacancy rates on those properties right now, those new ones?
Li Yu: It’s hard to conglomerate them all. I would say it is being done based on the original loan agreement that they have to have a – how should I say, they have to be a reasonable amount of pre-leased, already leased, before we will let them become a (inaudible) on the CIE.
John E. Deysher - Pinnacle Value Fund: Okay. But they’re new properties coming into a market that’s probably got over supplied at this point? Is that fair?
Li Yu: I wouldn’t know how to answer the question. Can you try me again?
John E. Deysher - Pinnacle Value Fund: Well, they’re new properties. When you say retail that’s a strip center or something?
Li Yu: Look, the new property, these are the construction project we’re doing.
John E. Deysher - Pinnacle Value Fund: No. You just said that they were completed construction and they moved into completed project status. And they’re in the process of being leased up. Is that correct?
Li Yu : That’s right. Some of them are already leased up.
John E. Deysher - Pinnacle Value Fund: Okay. So they’re fully leased?
Li Yu: Some of them fully leased, yes.
John E. Deysher - Pinnacle Value Fund: The two that you mentioned –
Li Yu: You have a 24 Hour Fitness. It’s already preleased, okay. So after it’s down it’s – another one is a Walgreens. By the time it’s completed, they just move in.
John E. Deysher - Pinnacle Value Fund: Okay. So there’s’ no risk of those properties written down because the landlord falls short of leasing them?
Li Yu: No. We don’t see that. If there is a risk of doing that we wouldn’t let it become a commercial real estate right now.
John E. Deysher - Pinnacle Value Fund: Okay. That’s the question. And the commercial and industrial loan portfolio, what’s going on with that in terms of the credit worthiness of those customers?
Li Yu: You mean the CNI loans?
John E. Deysher - Pinnacle Value Fund: Yes.
Li Yu: Well, we just have to go through out normal procedure, the monitoring all the CNI loans, okay, which keep a close eye – our CNI loan situation is being also monitored based on the monthly basis. Once we look over them and then get the period article, quarterly financial information update and so on, okay. So if you (inaudible) weakness is being spotted immediately call would have to be made to the senior management.
John E. Deysher - Pinnacle Value Fund: Did they submit – did those customers submit budgets for 2010 to you as a condition of maintaining those loans?
Li Yu: You mean, CNI?
John E. Deysher - Pinnacle Value Fund: Yes.
Li Yu : Seeing that budget is not necessarily requirement. It’s historical information that’s a requirement.
John E. Deysher - Pinnacle Value Fund: Okay. So you’re looking backwards and not forwards there in terms of containing –
Li Yu: I don’t know in this whole (inaudible) situation that – obviously for some customer we get their budgetary information. I don’t know how much that we all should be trusting the budget of a CMI loan.
John E. Deysher - Pinnacle Value Fund: That’s exactly my point. Okay. All right. So that’s $240 million. And then finally, on the balance sheet there was some – underneath the last asset item, $40 million, other assets up from $14 million, I think. Why did that jump so much and what’s in that?
Li Yu: That is the number.
John E. Deysher - Pinnacle Value Fund: Other assets under the deferred tax asset? Why is that up so much and what’s in there?
Edward J. Czajka: John, I’ll have to get back to you on that. I don’t have the details in front of me right now.
John E. Deysher - Pinnacle Value Fund: Okay. I’ll follow up with you. Thanks.
Operator: Thank you. And at this time there are no additional questions. I’d like to turn it over to management for any closing remarks.
Li Yu: Well, thank you that very much for your interest. As we said we hope we have seen the beginning of the turning around from a negative credit trend. We hope that it will continue that our entire staff and I was hoping that the fourth quarter that we have a much, much better results. So with that I’d like to close out the session. Thank you very much.
Operator: Thank you, sir. Ladies and gentlemen if you like to listen to replay of today’s conference, please dial 1800-406-7325 or 303-590-3030 using the access code of 4174801 followed by the # key. This does conclude the Preferred Bank 2009 third quarter results conference call. Thank you for your participation. You may now disconnect.